Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2011 Universal Forest Products, Inc. Earnings Conference Call. My name is Lynesenia, I'll be your operator today. [Operator Instructions] I now would like to turn the conference over to the Director of Corporate Communications, Ms. Lynn Afendoulis. Please proceed. 
Lynn Afendoulis: Good morning, and welcome to the Universal Forest Products Fourth Quarter 2011 Conference Call. Hosting the call today are Matt Missad, CEO; and Mike Cole, CFO of Universal Forest Products. Matt and Mike will offer prepared remarks, and then we'll open up the call for questions.
 This conference call is available simultaneously in its entirety to all interested investors and news media through webcast on our website at www.ufpi.com. A replay will also be available at www.ufpi.com through March 16, 2012.
 Before I turn the call over to Matt Missad, let me remind you that today's press release and the presentations made by our executives include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to, those factors identified in the press release and in our filings with the Securities and Exchange Commission.
 At this time, I would like to turn the call over to Matt Missad. 
Matthew Missad: Thank you, Lynn, and good morning, and thank you for joining us on our investor call this morning. Although I'm still relatively new to this role, I'm certain that the honeymoon period is now over since my coworkers are once again using the same derogatory greetings to me that they used to use. As we discussed in October, we are focused on becoming more profitable. And I'm pleased to report that we are making strides toward that goal. Each entrepreneur in our company is properly analyzing their operation and is aggressively taking action to improve. 
 In fact, each time I visit our plants, meet with our customers and vendors, and explore the new ideas that we are analyzing, I'm amazed at the strength of our people, and I'm confident that our strategy is headed in the right direction. We recently met with our key executives to kick off 2012, and the energy and enthusiasm for our growth initiatives in new products, international business, and taking advantage of our manufacturing capacity, with more manufactured items is contagious. We all know that the proof is in the performance, so please stay tuned.
 As we review our fourth quarter results, I'm pleased to report that our operations performed significantly better than in 2010. Our sales in the fourth quarter improved dramatically, and our SG&A costs were reduced in line with our expectation. We took some necessary write-downs in the quarter to reflect our desire to sell off excess assets such as idle real estate.
 Now the first part of my high-level review is sales. Manufactured housing continues to benefit from new business in the oil exploration areas of the U.S. and Canada. There are also more FEMA orders on the horizon, and we are finding sales growth in our distribution business as we try to add more value to each housing unit sold. 
 The residential construction market, on the other hand, is still challenging. We have been more selective in the jobs we will accept and cannot afford to make mistakes in this market. We continue to expand our ability to provide more value through our component offerings and installed services in some of our markets, and are gaining more volume in the multi-family business. Financing these projects continues to be a hurdle for many builders who are seeking assistance and new financing models from their vendors, including us.
 The retail building materials market improved in the fourth quarter versus 2010. We are expanding our customer base and working on our cost efficiencies. We will be priced out of some items in certain markets based on our return on investment criteria, but we expect to pick up additional volume in other markets and with additional products. 
 Our industrial market sales picked up nicely as we gained market share. We are continually expanding our offerings and adding more manufactured products to our mix. Our new facility in Salisbury, North  Carolina is operating as planned, and will be a source of sales growth in 2010.
 Finally, our commercial construction and concrete forming markets also gained share in the fourth quarter. We continue to make inroads with our approach of using our design and manufacturing capabilities to provide more cost-effective solutions to our customers. 
 My next area of high-level review is margins. Gross margins for the quarter were down almost 1% from a year ago. There is still price pressure in the market due to overcapacity and still lackluster demand. As we predicted in our October call, there has been some consolidation in the RBM market among wood treaters. One regional competitor is being acquired by another, and another regional treater has filed for bankruptcy protection. Now in order to improve our gross margins, we still need to provide more value to our customers and to continue to create more efficiency in our facilities, and we can do that by increasing our volumes. 
 The last area of our high-level review is working capital, namely: Inventory and accounts receivable. Inventory and accounts receivable for the fourth quarter 2011 were up over 2010, but they are in line with the higher sales volumes we experienced in the fourth quarter, and we will continue to monitor credit closely throughout this coming year.
 Our new products team is moving forward on several new items. One of our affiliate companies recently closed on a purchase of a facility in Alabama, which we expect to have in operation during the fourth quarter of 2012. This facility will produce building products using our patented next-generation polymer technology. 
 Now I would like to turn it over to Mike Cole, our Chief Financial Officer, for a review of the financials. 
Michael Cole: Thanks, Matt. Good morning, everyone. I'll start by reviewing our income statement. Our sales for the quarter increased 11%, driven by unit sales that was 13% higher and selling prices that were 2% lower due to lumber prices. Also, I should point out that we carried an extra week this quarter versus last year, which caused our overall unit sales to increase by 4%. 
 By market, sales for the retail market increased 8% due to a 10% increase in unit sales, offset by a 2% decrease in selling prices. Within this market, sales to our big-box customers declined 1%, while our sales to other retailers increased 21%. As you may recall, one of our objectives is to increase our business with independent retailers.
 Our sales for the manufactured housing market increased 35% due to an increase in unit sales as selling prices remain flat. The increase in unit sales was primarily due to industry production of HUD-Code homes, which increased almost 45% year-over-year. The most recent data from modular housing sources indicates that those shipments continue to be soft.
 Our sales in residential construction market decreased 19% for the quarter. By comparison, housing starts experienced a year-over-year increase of 23% for the quarter. Our decline in market share was anticipated and due to our focus on profitability and return, which resulted in the closure of plants in Texas and California since last year. All of our remaining operating plants are attempting to be much more selective in the business we take in order to improve performance.
 Finally, our sales for the industrial market increased 22% due to a 24% increase in unit sales while pricing decreased 2%. We added over 215 new customers this quarter, and demand from existing customers seems to have improved. We were also pleased to see how widespread the strength of our industrial market was this quarter. Of the 40 plants we have that serve this market, about 25 posted strong double-digit sales increases for the quarter. 
 Moving down the income statement. Our fourth quarter gross profit as a percentage of sales decreased by 100 basis points, primarily due to an increase in material costs as a percentage of sales, and the continued pricing pressure and relative trends in commodity lumber costs in our inventory versus our selling prices.
 Selling, general and administrative expenses decreased by $2.3 million or almost 5% in spite of carrying an extra week for the quarter, primarily due to a decline in compensation and related expenses tied to a decline in headcount and a decrease in bad debt expense. I should point out that if it would have been a 13-week quarter, our SG&A would have decreased by about $5 million.
 As you saw in our press release, we incurred impairment charges this quarter related to writing down the value of some of our idle real estate. Also in the quarter, fourth quarter of 2010, we recorded a $2.3 million tax benefit related to improving -- removing evaluation allowance against the deferred tax asset. If we're to exclude these noncash adjustments from our results, our net earnings would have been $26,000 this quarter compared to a loss of about $1.8 million for the fourth quarter last year.
 Moving onto our cash flow statement. Our cash flow from operations was $11 million this year compared to $29 million last year. Our operating cash flow in 2011 is comprised of $4.5 million in net earnings, $39.5 million in noncash expenses, offset by $33 million increase in working capital since December of 2010. Working capital increased from December primarily due to an increase in volume, resulting in greater investments and receivables and inventory and also the timing of payment of accrued payroll and the decline in accounts payable.
 Investing activities include capital expenditures of almost $33 million, which is slightly under our estimate for the year, and included about $10 million of expansionary capital expenditures. 
 Finally, we finished the quarter with no outstanding borrowings on our revolver and $11 million in cash compared to $43 million in last year. The decline in cash is primarily due to the increase in working capital at the end of the year that I just mentioned.
 That's all I have on the financials. Matt? 
Matthew Missad: Thank you, Mike. Now we'd like to open it up for questions. 
Operator: [Operator Instructions] And your first question comes from the line of Trey Grooms with Stephens Inc. 
Trey Grooms: Could you guys talk just a little bit about -- I know you guys don't guide, but just a little bit about kind of your expectations just broadly or even just directionally for some of your end markets when you kind of look out this year to 2012, just kind of touching on some of your end markets there? 
Matthew Missad: Yes, what I think what we can do is just kind of give you the general market impressions by market if that's helpful, Trey. 
Trey Grooms: Yes, that would be great. 
Matthew Missad: I think we're off to what looks like a good start if you believe everything you read in the papers about the economy. So our basic approach overall is relatively flat from an economic perspective. In order for us to keep driving our sales and margin, we're going to have to pickup share, we're going to have keep pushing our new products. 
 If you go through the retail building materials area, we expect that to be flat to up slightly for the year, just kind of -- for the industry, not necessarily UFP. MH, we think there will be, again, with the FEMA, work that's out there and the continued oil exploration areas, that should be up slightly from last year. If you look at the industrial products area, very modest increase in overall market size. 
 If you want to talk about commercial construction and concrete forming, I think there will be about the same, roughly, as 2011. And then for the commercial construction -- excuse me -- for the retail or residential building materials, market in the site-built area, we see more push towards multi-family housing. That will be a bigger push, but overall, units may be up slightly. 
Trey Grooms: Okay, all right, that's helpful. And then I'm sorry if I missed the -- your thought on manufactured housing there. 
Matthew Missad: Yes, manufactured housing, we think with the FEMA and the oil exploration areas that will be up from 2011. 
Trey Grooms: Okay, I'm sorry missed that. Okay, and then that's all very helpful. And then also, can you may be kind of talk to, on the residential part of your business, residential construction, for the quarter, for the fourth quarter, can you kind of talk about what -- if you kind of look at it on a same-store sales kind of approach, can you kind of look at what or talk about what it would look like kind of excluding some of those closed plants? 
Matthew Missad: Yes, Mike can give you a little more color on the detail there. I'll give you just a general overall observation, and one of the things is, as I mentioned, is we are trying to be more selective about the business we take. We really don't want to do a lot of work for practice, so it's important for us to try to pick the right business that we can do, and hopefully be profitable at it. Mike, can you give him that detail? 
Michael Cole: Yes. Plants that were opened in both periods were down about 14% unit sales for the quarter. 
Trey Grooms: Okay. And that's primarily just being selective, is that the right read? 
Matthew Missad: Correct. Yes, that's right. 
Operator: And your next question comes the line of Robert Kelly with Sidoti. 
Robert  Kelly: Just following up on the site-built questions. With the closures, with the business or the business you're taking, you being more selective, what did that look like for the full year in 2011 as far as earnings or cash flow? I know you guys have been trying to close the gap as far as the money you are losing there. Could you just update where you are coming out of 2011? 
Michael Cole: Yes, for the first part of the year, Bob, that caused our loss -- we had an operating loss for the whole year, primarily because of the first 6 months of the year. But third quarter, fourth quarter, we are profitable, which in the fourth -- fourth quarter is a pretty slow quarter. So that's saying a lot. So we're pretty optimistic about the changes that have happened more recently and that they're working. 
Robert  Kelly: Okay. So assuming that we're flat to slightly up from an end market perspective, the site-built segment will be profitable in '12? 
Matthew Missad: That's certainly our goal. 
Robert  Kelly: As far as what you're hearing from your customers, primarily on the residential building -- I'm sorry, the retail building materials side, the demand there was stronger than I think, maybe you would have expected coming out of 3Q. Is that inventory build and expectation of a strong 2012 for the retail building material universe? Or is it something else going on there driving those better unit sales? 
Matthew Missad: Well, as much as I really don't like talking about the weather as an excuse, I think in this case, the weather may be a benefit as you look at -- with year-over-year comparisons. I don't think there's particularly any inventory builds going on. I think it's just there's more product going through the stores, and we attribute a fair amount of that to just improved weather conditions year-over-year. 
Robert  Kelly: Weather was a big negative for you in the first quarter of 2011. Can you talk about what you're seeing on the demand front January and February 2012? 
Matthew Missad: Well, we're in Michigan right now, and there's very little snow on the ground this year. And to me, that's probably one of the best indicators we have about what the weather impact looks like. 
Robert  Kelly: Okay, that's a good point. I missed -- during your comments you talked about the industrial unit was primarily driven by share gains and you added a number of customers, I missed the total number. Would you just say that again for me, please? 
Michael Cole: Yes, it was over 250. 
Robert  Kelly: And that's for the full year or for the fourth quarter? 
Michael Cole: For the quarter. 
Robert  Kelly: And what was that for the full year? 
Michael Cole: I don't have it on me Bob, sorry. 
Robert  Kelly: Was it like in 1,000? Is it anything like that? 
Michael Cole: It's ranged -- let me put it this way. It's ranged anywhere from 100 to 200 -- up to 250. 250 was our biggest so it's ranged from 100 to 250 each quarter. If you want a precise number, I can give that to you later. 
Robert  Kelly: Yes, great. And then just on the balance sheet, some of your debt comes due in 2012. Not really used to seeing you guys be negative cash flow in any given year. What's the plan for the debt that's coming due in 2012? Do you expect to borrow against the revolver? Will you refinance it? Just need some help there. 
Matthew Missad: Depending on what happens on the acquisition front, if there's not a lot of action there, we'll use operating -- I would expect to have enough operating cash flow to pay off the $40 million bullet that's due. If we were acquisitive, we just refinanced our revolver out 5 years and have $265 million of capacity. So we'll use it for that if we need to. 
Operator: And your next question comes from the line of Steve Chercover with D. A. Davidson. 
Steven Chercover: First, 2 quick questions. First of all, I recognize that you're deemphasizing site-built construction or at least residential construction, but there's been a lot of optimism of late. Do you see any pockets of strength at all? 
Matthew Missad: We definitely see regional improvement in markets. And when you start from a historically very, very low point and you make an improvement, you can have a relatively high percentage improvement, but it still doesn't drive an overall market much. But yes, I think there are definitely pockets, we're seeing a little life. 
 And again, multi-family is where a lot of demand is today. We still are in a situation though where we've come from $2 million plus starts to basically $500,000 to $600,000 starts, so still a lot of excess capacity out there. And I think until that problem takes care of itself, there'll still be continuing margin pressure in that market. 
Steven Chercover: Sure. I mean, could you give us maybe top 3 or 4 pockets where you see some strength? And if single family comes back, will you chase it again? 
Matthew Missad: I can -- I'll address the second question by just simply saying we have to have business that we can earn a return on. And as long as we can earn a return on the business, we will do whatever we can do to get that business. That's probably easier question than giving you the dots on the map where I think the performance is improving because I probably don't think that's in the best interest of our shareholders to do that. 
Steven Chercover: Okay. And then switching gears to industrial packaging, which grew about 7x faster than the economy, or at least the industrial economy. You said it was share gains, so to what do you attribute your success? 
Matthew Missad: I think I would give all the credit to our people in our operations who are really driving this business. They are being very aggressive. They're coming up with some really creative solutions for the customers, and they're actually providing great ideas that I think are resonating well with that customer base. So it's all our people helping to drive that business. 
Steven Chercover: So one of the things that struck me years ago when I went through your facilities was how you were capable of taking little pieces of fall down or scrap from trust manufacturing, for instance, and using it in industrial. Are you still able to do that as efficiently now that part of the business is kind of gone? 
Matthew Missad: Yes, I think as you look at kind of the raw material flow and where that comes from, granted, there's probably not as much downfall, but I think through our efficiencies in our production model, we're actually I think more efficient in our plants than we used to be. We're making better use of what raw material we have available, and I think we just -- we're able to build it for a much more effective cost. 
Operator: And your next question is a follow-up question from the line of Robert Kelly with Sidoti. 
Robert  Kelly: You talked about the gross margin degradation from the year prior 100 basis points. Was the 100 basis point decline all related to selling price pressure? And how do we think of it -- there had to be some offsets in there with the plant closures. Could you just help us bridge the year-over-year change? 
Matthew Missad: Yes, Mike, can you give him the kind of the background on that? 
Michael Cole: Yes, just dial down in the details a little bit. The 100 basis point is in that number. The material cost as a percent of sales was actually down more than that. It's about 150 basis points. So we actually -- by looking at labor and overhead, and freight in general, that was -- that improved by 50 basis points. I think due in part to the improvement in volume, primarily probably due to the improvement in volume. 
Robert  Kelly: Okay. One of the drags that you had during the second and a little bit in the third quarter was kind of being behind the curve on your material costs. That's maybe kind of my terminology, but is that still the key -- are you still dipping into higher cost material still in 4Q? Is that part of the material cost drag or is it just selling price pressure at market price? 
Michael Cole: Well, I think last year, as you look at that, the market had a little bit of a run during Q4. So sales weren't a ton in Q4. It's one of our slower time periods, but we were selling into a rising market in the fourth quarter of 2010. This fourth quarter has been pretty flat, and so we didn't have that benefit. But like we said earlier, there is still pricing pressure with customers, so that's a little bit of the drag. And as I look at what our costs are today in inventory, they're in good shape relative to the market. 
Robert  Kelly: Okay, great. And then just one final one. You touched on the stability or the relative stability of lumber prices especially as it relates to 2011, or the beginning part of 2011, there's kind of a disconnect with some of the optimism hearing from you and from other folks that participate in the space. Wouldn't lumber be stronger if you're seeing pockets of strength on the site-built side and the multi-family side? 
Matthew Missad: Yes. I think that goes back to probably the overall capacity issues. One of the things that helped strengthen the market is the number of mills that have been shut down. Also a lot of the product that's been going overseas has had a big impact on the market. 
 So as we've learned, it's really more about the timing of the inventory purchases and how the market flows than it is year-over-year demand. Right now I think there's still plenty of capacity at the mill level. And although demand has improved, it's still not strong enough to push the needle much yet. I think there's a lot of folks that are relying on the lumber market to help them with their business this year. And if there is a slight hiccup in the market, it may negatively impact some of our competition more than us. 
Operator: And your next question comes from the line of Will Nasgovitz with Heartland Advisors. 
William Nasgovitz: You might have touched on this, and I apologize if I missed it. But did you outline what your capital budget will be for 2012? 
Michael Cole: Yes, we had not mentioned that. Our capital expenditure budget is about $40 million for next year, which includes quite a bit of expansionary CapEx. 
William Nasgovitz: It's up from $33 million, right? Okay. And then I was curious, I think it's been touched on the prior calls, but assuming sales in -- maybe this year or next more than likely, I guess, exceed the $2 billion level, what type of -- can we hold SG&A at these levels, or just any perspective on that would be helpful? 
Matthew Missad: Yes, I think it would definitely be our goal to be able to maximize the utilization of our existing people and facilities. And I think the levels you're talking about we're certainly capable of maintaining the facilities we have and the SG&A level that we have and still achieve those kind of numbers. So that's clearly our goal that will help us reduce our costs and improve our margins as well. 
Operator: With no further questions in queue, I'd like to hand the call back to Matt Missad for closing remarks. 
Matthew Missad: Thank you, and thanks to all of you for your time and listening this morning. Overall, I'm very proud of our team, and I'm excited about all of the positive things we're working on. We're all very thankful for your interest and investment in UFP, and we will keep doing our best to provide you and our employee shareholders with a great return on your investment. Thank you, and let's hope that the Red Wings keep their streak alive. 
Operator: Ladies and gentlemen, that concludes your conference. You may now disconnect. Have a wonderful day.